Unknown Executive: Good morning, everyone, and thank you for joining us today for MFG's interim results briefing for the 6 months to 31 December 2025. My name is Emma Pringle, and I am MFG's Head of Investor Relations and Sustainability. Before we begin, I would like to acknowledge the traditional owners of the land on which we meet, the Gadigal people of the Eora Nation, and pay my respects to Elders past and present. Turning to today's agenda. Speaking first will be CEO and Managing Director, Sophia Rahmani, who will provide an overview of MFG's first half performance, including the key achievements of the period. Dean McGuire, MFG's Chief Financial Officer, will then provide detail on the Group's interim financial results before Sophia returns to cover our investment management business and strategic partners, as well as second half priorities for the business. We will then open to Q&A from the phones and online. Today's presentation is being recorded, and a replay will be available on our website. I will now hand over to Sophia.
Sophia Rahmani: Thank you, Emma, and thank you to everyone online for joining us this morning. The headline for MFG's interim result is straightforward. We have continued to execute our strategy, strengthen the diversity and quality of earnings, and maintained disciplined capital management. The first half delivered solid financial results, with operating EPS of $0.486 per share, up 5% on the prior corresponding period. MFG has declared an interim dividend of $0.395 per share, fully franked, reflecting a payout ratio of 80% of Operating Profit, in line with our newly stated policy. The dividend is up 50% on the same time last year. Our balance sheet position remains strong, with over $500 million in liquid capital as at 31 December, providing strategic optionality for the Group. MFG's earnings are becoming structurally more resilient and less dependent on a single line of business. As highlighted on this slide, over the first 6 months of the year, we have delivered increasing operating EPS. Strategic partnership income of $25.7 million, more than doubling year-on-year. And we closed the half with assets under management of $39.9 billion. This half, we returned $105 million to shareholders through dividends and our on-market buyback, with the repurchase of $38 million in shares contributing to growth in earnings per share. During the half, we also made important progress in positioning the business for long-term value creation. We successfully completed our brand refresh, which sees MFG as our parent company and Magellan Investment Partners as our outward facing distribution brand. We have recently finalized the last step in this process, being the name change of our U.S. entity. And we are pleased to now have the full breadth of our distribution business unified under a single brand. We held our next adviser -- national adviser roadshow, reaching more than 500 advisers across 5 cities and reinforcing the importance of active management in increasingly disrupted markets. We continued our product review, which has seen MFG simplify our offering where it has made sense and bring to the market contemporary products to meet evolving client needs. And we achieved strong product and client validation through ratings, mandate wins and renewals across each of our investment boutiques, with a robust institutional pipeline in play. We also continued to invest in systems and people, strengthening our leadership bench and embedding operating disciplines to support the growth of strategic partnerships. On the governance front, which remains a key enabler of our business success, we are pleased to have Peeyush Gupta AM join the Board as an Independent Non-Executive Director in November, and we completed a governance review which enhanced Board processes, committee structures, and risk frameworks. These are foundational initiatives designed to support long-term growth. Overall, the half reflects steady strategy execution, operational progress, and improving earnings quality. This slide encapsulates how we now think about MFG. I have spoken before about MFG's evolution to become a focused financial group spanning investment management and specialist financial services. Magellan investment partners is our outward facing distribution brand, bringing to the market investment solutions managed by MFG's teams: Magellan Global Equities, Magellan Global Listed Infrastructure, and Airlie Funds Management, and that of our Strategic Partner, Vinva Investment Management. Our other strategic partners, Barrenjoey and FinClear, round out the Group. This structure is deliberate. It reflects our belief that in today's environment, the strongest asset managers will be those that combine investment management capability with distribution strength, and diversify earnings across complementary, high quality financial services businesses. Supporting our whole business is an institutional grade platform spanning client service, distribution, finance, HR, operations, product, risk, compliance, legal and technology. This platform is increasingly becoming a competitive advantage both for our own investment teams and for the partners we work with. I will now hand over to Dean to cover MFG's interim financial results.
Unknown Executive: Thank you, Sophia, and good morning, everyone. I will turn to Slide 9, which shows the details on our financial results for the half. Operating profit was flat for the period, primarily driven by strong growth from our strategic partners being offset by lower investment management revenue. Distributions from fund investments grew 14% over the period, with interest revenue falling as a result of capital deployment into the buyback. On a per share basis, operating profit is up 5%, inclusive of the accretive impact of the buyback throughout the year. Statutory profit is down 27% on the prior period, primarily reflecting mark to market movements on fund investments. Moving now to Slide 10, our investment management result. Management fees were down 8% as a result of a 13% reduction in the average fee rate, partially offset by a 6% increase in average AUM. Base management fees averaged 55 basis points over the period, down 8 basis points on first half 2025. The reduction in the level of base management fees is primarily a consequence of compositional changes in our AUM, with outflows in higher margin products in Global Equities. Our average run rate management fee at 30 June is 54 basis points. Sub-advisory fees were $4.8 million for the half across the $2.2 billion in AUM within the Vinva funds on Magellan's platform. Turning now to Slide 11 on our partnerships and fund investments result. Our strategic partnerships continued to deliver strong growth in the period, with MFG's share of profit up 109% to $25.7 million, comprising 31% of operating profit for the half. Barrenjoey delivered growth across all business lines, with revenue up 45% on the prior corresponding period, driving significant profit growth. We received a fully franked dividend from Barrenjoey of $8 million during the half, double the level of the prior year. The Vinva business continues to deliver, with excellent investment performance and business outcomes. MFG's share of income grew over the period, with increases in AUM over the last 12 months driving an increase in base management fees. Vinva paid a fully franked dividend of $9.8 million during the period. Fund investment income grew 14% over the period, with cash distributions of taxable gains remaining at elevated levels within a number of underlying funds. This line will continue to be volatile. Moving to Slide 12. This half represents the first period of operation of the revised dividend policy announced in August 2025. The Group has declared a fully franked interim dividend of $0.395 per share, representing a payout of 80% of operating profit. The buyback continued to be active during the half, with $38.4 million of shares repurchased utilizing cash reserves. The buyback program remains on foot, with liquid capital of approximately $500 million providing strategic optionality for the Group. We continue to carefully assess uses of capital to grow and diversify the business, consistent with our strategy and the aim of creating long-term shareholder value. Thank you. I will now hand back to Sophia.
Sophia Rahmani: Thank you, Dean. I will now turn to investment management and discuss AUM, flows, performance, and how we are positioning the business. Starting with assets under management. As at 31 December 2025, our AUM was $39.9 billion, representing net growth of 3.4% year-on-year and roughly flat since 30 June 2025. The underlying drivers are important. We saw positive institutional flows into Airlie Australian Equities and Global Listed Infrastructure, as well as retail inflows into MFG's Vinva Systematic Equity funds. These inflows were partially offset by continued outflows in Global Equities, particularly from retail channels. Our clients remain diversified across region and channel, with the balanced mix supporting greater earnings stability over time. This next slide shows indexed AUM growth by strategy over the last 2 years. Airlie Australian Equity and Vinva equity funds have experienced steady AUM growth due to positive net flows. Global Listed Infrastructure AUM has remained largely flat, as limited retail outflows were offset by offshore institutional wins during the first half of '26. Global Equities has remained in net outflow over the past 2 years. However, institutional outflows have materially reduced, averaging $100 million per quarter since the last quarter of FY '24, with retail outflows having stabilized at an average of $500 million per quarter since that period, excluding the MGF conversion in early FY '25. As you can see on the chart, inflows have increasingly been directed towards lower margin strategies, which has been a key contributor to the margin compression Dean spoke to earlier. Across our investment teams, fund performance was mixed. Our newer solutions, which are increasingly aligned to current client demand and include the Magellan Global Opportunities Fund and the Vinva Systematic funds, have delivered strong performance and remain top quartile since their respective inception dates. That said, we recognize that performance is not where we would like it to be elsewhere across our product set, and this remains a key priority for our teams. The Magellan Global Fund, which is designed to deliver 9% per annum net of fees through a cycle of 5 to 7 years while reducing the risk of permanent capital loss, has achieved these objectives since inception and across longer term time frames. However, over the last year, this low volatility, quality focused investment philosophy has seen the fund lag behind the MSCI World Index in a market that has been heavily driven by growth and momentum. Importantly, many of our holdings have continued to demonstrate strong fundamentals and improving earnings expectations despite weaker share price performance, and we remain confident in the long-term evidence supporting quality investing. Our portfolio managers remain disciplined and continue to manage the fund in line with our investment philosophy, rather than chasing short-term market momentum. In Global Listed Infrastructure, returns in the first half were supported by strong demand for high quality defensive assets amid ongoing policy uncertainty, geopolitical risk, and moderating real interest rates, which provided a tailwind for longer duration infrastructure assets. While 6-month performance was modestly behind the benchmark, both strategies remain ahead on a gross basis over 12 months and continue to align with our long-term objective of CPI plus 5%. Importantly, we retained a major sovereign wealth mandate during the half and expanded another large institutional relationship, with both strategies maintaining strong research house support. In Australian Equities, where the market environment has been marked by elevated volatility, Airlie's performance has been impacted by an underweight allocation to lower quality, highly leveraged companies and resource stocks, particularly gold. This is to be expected given Airlie's long-term focus on quality and valuation discipline, which is well understood by clients. The experienced team led by Matt Williams and Emma Fisher has recently been strengthened with the addition of experienced investors in Ray David and David Meehan, and remains committed to its proven investment process. This next slide captures a critical point: the quality and reach of our distribution capability is one of MFG's core strengths. Magellan investment partners provides the scale and expertise to meet client needs in a world of evolving market dynamics. We have deep global relationships and a trusted experienced distribution team. We believe this platform is a real differentiator, and it is increasingly valuable in supporting both organic growth and strategic partnerships. We have continued to invest in the platform over the half, with new appointments supporting clients and relationships in Australia and Asia Pacific, and have been rewarded with a strong client response. Momentum has been particularly pleasing in the U.S., where the team has secured new institutional wins for our Global Listed Infrastructure strategy. I will now turn to our strategic partnerships, which have become an increasingly important driver of earnings diversification and long-term value creation. Barrenjoey. Barrenjoey has maintained its strong momentum to cement its place as one of Australia's highest quality financial services franchises. It is now 5 years old, employs around 450 staff across 5 offices, including Abu Dhabi and Hong Kong, and has market leading franchises across corporate advisory, equities, fixed income, and private capital. For the half, Barrenjoey more than doubled its NPAT to $54 million, with revenue up 45% to $295.3 million and strong growth across every business line. We continue to view Barrenjoey as a high-quality strategic holding, with meaningful long-term optionality and strong operating leverage as the business continues to mature. Our partnership with Vinva, a high performing systematic equities investor with a long heritage and a strong performance track record, is now 18 months old and gaining real traction in the market. The 4 Vinva funds offered by MFG are each now approved on at least one key ratings house, in place across all major platforms, and we are seeing increased support and adoption from asset consultants and dealer groups. We closed the half with $2.2 billion in AUM across these funds and strong momentum, now that key building blocks are in place. We have been pleased to see the partnership's mutual value reinforced with additional institutional mandates jointly secured for Vinva, including a second CFS mandate and a new overseas client for a Global Equity mandate, won in December and funded last week. This is in addition to the strong growth we have seen in the first CFS mandate. Importantly, this progress represents only one component of Vinva's broader growth trajectory, with total AUM having more than doubled since the strategic partnership was established, driven primarily by growth in Vinva's Global Equities strategy and strong traction across a diversified client base. This is an excellent example of our distribution strength combining with Vinva's unique investment capability to increase access to markets and clients, and an indicator of the partnership model we are looking to replicate over time. FinClear continues to improve underlying financial performance as the business gathers momentum and market share across its core businesses. Revenue increased 20% year-on-year, supported by growth in trade execution, FX revenues, and the FCX platform. Its cash and FX platform is now fully operational, and FCX is ramping up following its launch, including its first major transaction during the half. FinClear remains a strategic investment for MFG, with improving fundamentals and meaningful long-term potential as private market transaction infrastructure evolves. I will now conclude with a review of progress and our priorities for the second half. First, the review. In first half '26, we made progress across each of our strategic priorities. We strengthened our distribution platform with a unified global brand and senior hires and saw validation in the form of client wins and the strong pipeline that is building. We have continued to evolve and focus our product set in-line with client needs and maintained momentum in our newer funds, with investment performance, ratings, and platform approval supporting new client flows. Our strategic partnerships contributed strongly to earnings during the half, more than doubling on the prior period, reflecting strong momentum at both Barrenjoey and Vinva. This is exactly the earnings diversification we outlined when articulating our strategy to evolve into a broader financial services group. The partnership model is delivering both capability expansion and more resilient earnings. Our people are what sets us apart, and we have continued to focus on embedding a high performing culture. This quality of our teams was evident early this year with MFG's inaugural innovation month, an internal initiative that saw teams from across the business come together to ideate on ways to meaningfully improve how we serve clients, operate our business, and build for the future. MFG has always been known for its innovation, and continued innovation is critical to our long-term success, especially in the face of ever evolving markets and an increasingly competitive landscape. We were delighted with the energy and innovative thinking at play and look forward to progressing several of the submissions to the next phase. We have also continued to invest in systems and leadership capability to support a scalable operating model and maintain strength of governance during the period, including enhancements to our risk management framework, board processes, and committee structures. Importantly, these are not short-term initiatives. They are building blocks for long-term value creation which will support MFG in our next phase of growth. Looking ahead to the second half of the year, our strategy and priorities remain clear and consistent. First, we will further utilize and strengthen our global distribution platform to win new clients and deepen existing relationships, while keeping long-term investment performance at the center of our focus. Second, we will broaden our client offering through a combination of strategic partnerships and organic capability development, ensuring our solutions remain aligned with evolving market demand. Third, we will continue to actively assess strategic partnership opportunities across investment management and complementary financial services. Fourth, we will continue to cultivate a high-performance culture to attract and retain talent and align our people around delivering consistently strong outcomes for clients and shareholders. And finally, we will remain focused on ensuring we have strong operating core to support efficiency and excellence across our business. To close, the first half results reflect continued strategic progress and strengthening earnings quality. Despite ongoing headwinds across active management, we have delivered earnings growth per share, stable AUM, increased strategic partnership contributions, disciplined cost management, and a strong capital return to shareholders. We remain cash generative, capital disciplined and well positioned to continue executing our strategy and creating long-term value. Dean and I will now be happy to take your questions. Thank you very much.
Unknown Executive: Thank you, Sophia and Dean. We will now move to questions. [Operator Instructions] But we might first move to any questions from the phone lines. Operator, over to you.
Operator: The first question comes from Julian Braganza at Goldman Sachs.
Julian Braganza: Just the first question on expense growth. Looks like first half '26 was quite positive, with only 1% growth over the half. Just maybe how you are thinking about expenses over the second half and into the medium-term just given some of the investments that you are flagging on the expense side, and in particular the second half.
Unknown Executive: Yes, thank you for the question. The expense growth in the first half reflects our ongoing focus on operational efficiency. And so I think that is a focus for the group that will continue both in the second half but also into the medium-term. In relation to the view on the full year, we had previously stated that expenses would grow at or about the level of inflation. I think we will do better than that across the full year. I do expect there to be growth in expenses in the second half as we look to invest in technology and other areas to improve the efficiency and the effectiveness of our business. But overall, we are looking to balance those investments with operational efficiency opportunities in the balance of the business. So overall, no change to the medium-term outlook.
Julian Braganza: Okay. Got it. And that is super clear. And then just in terms of fee margin for the business, just interested in expectations from here. Exit around 54 basis points, average over the period 55 basis points, suggests that a level of bottoming out given the deterioration we saw half -- over the half. Just be interested in how you are seeing that play out. Or alternatively, where are we bottoming out on that fee margin line?
Unknown Executive: The trend in the fee margin is largely a consequence of the increase in the institutional component of the AUM. We are now 60% institutional, 40% retail. And so depending upon the relative flows over the next 12 to 18 months, that will determine where that average fee rate ends. Clearly, we are still very focused on growing in the retail market, and that's a key strategic objective of the business, but in terms of where that fee rate goes, it will be primarily driven by the compositional elements.
Julian Braganza: Okay. But just to be clear, was it stabilizing towards the end of the period, just given the average and the exit are quite closely aligned? Is there a little bit of stabilization there, or?
Unknown Executive: So it was a fairly linear trend over the period. So 54 at period end, we did have the conversion of the high conviction fund to Global Ops during the period, which is the kind of the 2 bips drop we note in the in the pricing. That won't repeat going forward. But throughout the period, the run rate was fairly linear.
Julian Braganza: Okay. Got it. That is good. Just the last question for me in terms of Barrenjoey. Obviously very strong revenue growth, very strong NPAT growth. Just how should we be thinking about this from here? Any one-offs that sort of normalizing in the second half, or is this sort of a continued level of underlying trends that we should be expecting? Just some color around that.
Unknown Executive: Sure. Barrenjoey is now quite a diversified business both within its business lines and across them. So our view is that, even with a strong result in the first half, we think the outlook there is quite positive. So we're not seeing an outlook where we will get an enormous skew between different periods. Given the nature of that business though, there is always timing elements that are at play in relation to transactions. But overall, we think the outlook for that business is quite positive.
Operator: The next question is from Elizabeth Miliatis from Macquarie.
Elizabeth Miliatis: First one just on Barrenjoey, just to circle back on that. I think we at 100%, we generated $54 million profit for the half. Last full year was $59 million, so you have almost doubled the run rate of previous halves. I mean, how do we think about this going forward to sort of circling back on it, because it is really difficult to forecast this given the lack of disclosures?
Unknown Executive: One of the dynamics we see now at play in Barrenjoey is the increasing contribution of -- from the operating leverage of the business. So in the investments in that business over the last 5 years to get it to this point have now resulted in a revenue growth, we talked about 45% for this period, but driving over a doubling of net profit. And so we see that being a key enabler of profit growth for that business as we go forward. The different business lines are all contributing positively. So each of those have growth opportunities. That management team is very focused on growing that business, and we are a very supportive shareholder. But in particular, the growth in this period has been aided by that historical investment now really yielding returns from an operating leverage perspective.
Elizabeth Miliatis: Okay. And was there anything -- any sort of big one-offs supporting the result, or is this just more BAU strength?
Unknown Executive: Given the nature of the business there is always elements that are specific to a particular period. What I would call out is that we are seeing the diversity of that business, the maturation of each of those business lines, meaning that as we look between periods, there's more natural offsets and complementarity between those businesses. And so we are seeing a far more resilient earnings profile as we go forward.
Elizabeth Miliatis: Okay. Got it. And then just on Vinva, I am not sure that you have disclosed the FUM at the total business level anywhere. Are you able to give us that number at 31 December and then maybe where we're at the moment?
Sophia Rahmani: Sure, Liz, and thank you for your questions. Vinva closed the period with around $43 billion under management. They have had some subsequent inflows already this half and continue to have a strong pipeline. Definitely from an institutional perspective, which they look after as a business and they've done really well there, but we have also on the retail fund side had some wins and have a decent looking pipeline there as well.
Elizabeth Miliatis: Yes. Okay, got it. And maybe just final one, and then I will go back to the end of the queue. Just given the significance that the associates are now as a sort of part of the business, so 31% of earnings this half. Are you perhaps starting to rethink about the levels of disclosures there? Obviously you are -- they are just associates, but it is just challenging to forecast these without too much color and it seeming to have a big swing factor to the results going forward.
Unknown Executive: Yes, thank you for the question. It is something we're focused on, and we continue to work with our partners on how we can give more disclosure and more color to the market on the businesses. So we take that feedback and we appreciate it. It is a growth component of the business, and as we get to the full year, we will be reviewing what levels of disclosure we can give. Noting, of course, that these are private businesses, founder led, and that is part of the strategy, but we acknowledge the feedback and the perspective.
Operator: There are no further questions from the phone at this time.
Unknown Executive: Thank you, operator. We will move to questions submitted via the webcast. The first question is: Given the volatility in the performance of active managers in Australia, would you look to diversify your domestic product offering in areas such as fixed income, where there will be a growing need for yield focused products as hybrids roll off?
Sophia Rahmani: Thank you for the question. We, absolutely, are looking to continue to diversify our product offering, both for domestic clients as well as our offshore clients. A core plank to the strategy, and hopefully you can see that strategy in action with the early success and momentum we have built around our partnership with Vinva. Would we look specifically at fixed income in Australia? Absolutely we have, and we continue to be open minded about how we diversify our business, definitely with a focus on client needs and how we can solution for our clients and be very relevant to them, in this evolving market and as things change, so we definitely are focused on all of that.
Unknown Executive: The next question is: How actively are you reviewing strategic partnership opportunities? Do you expect to announce any new strategic partnership opportunities in H2 '26?
Sophia Rahmani: Thank you for that question. I would say we are very actively reviewing strategic partnership opportunities. Again, consistent with our strategy, we are fortunate enough to have the capital on our balance sheet to have that optionality, so yes, we do dedicate time to that. We have initially certainly through calendar year last year, been very focused on doing a very good job of embedding the partnership with Vinva. But as the year ticked on, we did certainly progress a couple more discussions with strategic partnerships and have a couple of live discussions right now. I certainly can't make any commitments on when they will be announced, and certainly what gets to that point where we do announce a transaction and enter into a partnership, but I can say we continue to stick to our strategy, and again, this result shows the benefits of that for our shareholders.
Unknown Executive: The next question online is: There appears to be a high realization on profits in fund investments while the unrealized loss part is carried away. How should we think about this trend on realization of profits going forward as it appears at some point this would need to converge?
Unknown Executive: Thank you. In relation to the profits that sit within the operating profit line, they are not necessarily realized gains on sale; they are distributions from our fund investments. They are cash backed and they go to all investors, including MFG. What I would say though is, is that line continues to be elevated versus historical levels, and that is a consequence of the taxable gain position in the underlying portfolios. That element will be volatile period to period as we have called out. In relation to the unrealized loss in the statutory result, we focus primarily on the long-term performance of those investments, and the total returns over time have been quite positive. In this period, the total return was about $6 million and net of the distributions, with the unrealized component being just unit price movement over the the half.
Unknown Executive: The next question is: Is there a medium-term plan with Barrenjoey to list or otherwise realize the value of the investment? At some point will the employees want a way to realize the value of their share of ownership?
Sophia Rahmani: Thank you for the question. Look, I mean, I think with the Barrenjoey success that we are seeing, I am sure that there is a lot of happy shareholders like ourselves in the success that we are seeing in that business. Probably much of this is a matter for the Barrenjoey management team, and they will be discussing that internally on employees, but we still do have a long time to run with those employee share plans, and certainly as a shareholder in the Barrenjoey business, like we are in the Vinva business, we are incredibly pleased with the performance of those underlying businesses.
Unknown Executive: The next question online is: How is the search for a new Global Head of Equities going?
Sophia Rahmani: Thank you for that question. I will say we don't actually have an open search for a new Head of Global Equities underway. As we have talked about in other forums with Arvid's departure, we were very pleased to have the strong bench strength with Al Pullen and Casey McLean there already co-PMs of the global fund and ready to step in as interim co-heads of that business. So for now, we are very pleased with how that has gone, and we continue to monitor overall resourcing of that team.
Unknown Executive: The next question online. Across the underlying businesses, performance fees have declined substantially over 1H '26 versus 1H '27. I think that should be 1H '25 versus 1H '26. Has this contributed to any loss of morale across analysts and portfolio managers behind these products?
Sophia Rahmani: Thank you. I am happy to answer that question. I would say if we look at the last the 12 months prior to this period, we had performance fees coming from our High Conviction Fund predominantly, and then the second period we had performance fees coming from our Infrastructure Funds. As part of the changes we made to High Conviction in August last year, we removed the performance fees as we converted that strategy to the Global Opportunities strategy; we completely changed the fee structure for that. I would say that is a great example which was very well received by the Global Equity team and the distribution team to have, a 75 basis point flat fee in the market which hopefully is well received by our clients as well, and again we are seeing some early attraction to that. So I would say from a -- any kind of loss of morale from a performance fee perspective, which I don't think we saw, has actually been offset by us seeing a contemporary product with a strong performance like Global Opportunities with some sharp pricing made available to our clients.
Unknown Executive: Can you explain what sort of investments in AI you are looking to make? How do you see this investment improving the overall MFG business? Is this expected to drive a material increase in expense growth?
Unknown Executive: Thank you for the question. Our investments in AI are in 2 primary areas. The first is in relation to our investment teams and putting into production tools which improve the effectiveness of the investment process and the capabilities of the research function. And that goal is primarily aimed at improving performance, also being able to expand the universe in which the team covers and to be able to be more efficient in the way in which they allocate their time and energy. On the second element, we are looking at operational efficiency and productivity improvements across the entire business. And those will be ongoing over the remainder of this year and into next year as well. And those will be primarily in the areas of productivity, both in back of house but also in client reporting and client experience. From an expense perspective, we are focused on funding that from our existing cost base. So as I have mentioned previously, I don't expect that to drive an increase in expense growth at the group. It is an -- a reallocation of our resources and our energy towards those areas.
Unknown Executive: There are no more questions online. Operator, can we check if there are any more questions on the phone, please?
Operator: [Operator Instructions] There are no questions from the phone at this time.
Unknown Executive: Thank you. Given there are no more questions, that will be the conclusion of today's interim results update. Thank you all for joining us.